Operator: Thank you for standing by, and welcome to the Second Quarter 2021 Endo International plc Earnings Conference Call. . I'll now hand the call over to Laure Park, Senior Vice President, Investor Relations and Corporate Affairs. Please go ahead.
Laure Park: Thank you, Michelle. Good morning, and thank you for joining us to discuss our second quarter 2021 financial results. Joining me on today's call are Blaise Coleman, President and CEO of Endo; Mark Bradley, Executive Vice President and CFO; and Patrick Barry, President, Global Commercial Operations.  We have prepared a slide presentation to accompany today's webcast, and that presentation as well as other materials are posted online in the Investors section at endo.com.  I would like to remind you that any forward-looking statements made by management are covered under the U.S. Private Securities Litigation Reform Act of 1995 and the applicable Canadian securities laws and are subject to the changes, risks and uncertainties described in the press release and in our U.S. and Canadian securities filings.  In addition, during the course of the call, we may refer to non-GAAP financial measures that are not prepared in accordance with accounting principles generally accepted in the United States and that may be different from non-GAAP financial measures used by other companies. Investors are encouraged to review Endo's current report on Form 8-K furnished with the SEC for Endo's reasons for including those non-GAAP financial measures in its earnings release and presentation. The reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measures are contained in our earnings press release issued yesterday, unless otherwise noted therein.  I'd now like to turn the call over to Blaise. Blaise?
Blaise Coleman: Thank you, Laure. Good morning, everyone, and thank you for joining us. We are pleased to report solid financial performance and continued progress against our strategic priorities during the second quarter. We saw better-than-expected performance across each of our segments, including double-digit percentage sequential revenue growth in our Branded Pharmaceuticals segment, driven by continued strong volume growth in XIAFLEX. Based on the strength of our second quarter performance, we are raising the low end of our 2021 full year financial guidance.  Turning to Slide 3. Last year at this time, we introduced our strategic priorities, which guide all that we do as we work to transform our company. During the second quarter, we made progress across all 3 of our strategic priorities. In expand and enhance our portfolio, we continued to successfully deliver on our core launch plan, drive continued strong XIAFLEX volume growth through effective commercial execution and focused investments, progress and grow on our internal product pipeline and actively pursue external business development opportunities in our core areas of growth.  In reinvent how we work, we continued to advance our business transformation initiatives, including the recently announced sale of our manufacturing facility in Chestnut Ridge, New York.  In be a force for good, we published our second annual ESG report in May reporting our continued progress across many of our initiatives in support of our ambition to adopt more sustainable practices that benefit all of our stakeholders.  Moving to Slide 4, this is a snapshot of our segment and consolidated revenues and our adjusted EBITDA for the quarter. Second quarter revenues of $714 million increased by 4% compared to the prior year. This increase was mainly due to an increase in revenues from the Specialty Products portfolio of our Branded Pharmaceuticals segment, partially offset by anticipated decreases in revenues from our Generic Pharmaceuticals and Sterile Injectable segments.  Reported second quarter adjusted EBITDA of $343 million increased by 2% compared to prior year. This increase was primarily due to higher consolidated revenues and favorable changes in product mix and was partially offset by increased adjusted operating expenses.  Second quarter 2021 consolidated revenues and adjusted EBITDA exceeded our previously communicated expectations due to better-than-expected performance across all of our segments and lower adjusted operating expenses mainly due to the rephasing of expenses to the second half of the year.  Turning to Slide 5. Second quarter revenues from our Branded Pharmaceuticals segment increased 76% compared to prior year, driven by the performance of our Specialty Products portfolio.  XIAFLEX revenues increased by over 200% in the second quarter compared to the prior year. On a sequential basis, XIAFLEX net sales grew 17%, and driven by an 11% increase in volume compared to the first quarter of 2021. These increases are the result of an increase in physician office activity and patient office visits, coupled with continued strong commercial execution. Compared to the same period in 2019, XIAFLEX revenues have grown at an impressive compound annual growth rate of approximately 22%.  As we discussed earlier this year, we are continuing to invest in the XIAFLEX commercial strategy that includes increasing patient awareness through expanded promotion to empower patients to seek nonsurgical options, coupled with physician education training. Based on strong demand growth and the ongoing opportunity to improve condition awareness and enhance overall treatment and diagnosis rates, we are planning additional investments in direct-to-consumer marketing campaigns in the second half of the year as part of our overall commercial strategy. Specifically, we are planning to introduce a branded consumer activation strategy for the Peyronie's indication. We believe a branded DTC approach will further enable diagnosis, treatment and unlock further demand for XIAFLEX. Our experience so far demonstrates the majority of consumers, who request XIAFLEX by name, receive treatment. These additional investments are reflected in our full year financial guidance that Mark will discuss later in the presentation.  SUPPRELIN LA revenues grew by 79% in the second quarter compared to prior year, primarily driven by the product's continued recovery from the pandemic, as well as stronger-than-expected demand resulting from expanded patient awareness and a competitor product shortage. We are pleased by the volume growth in the quarter and the first half of 2021 and are proud to provide central precocious puberty patients and their health care providers with a solution that delivers 12 months of duration.  Revenues from our Sterile Injectables segment declined by 8% compared to the second quarter of 2020. However, revenues did exceed our expectations for the quarter.  VASOSTRICT revenues declined by 8% in the quarter compared to prior year, driven by the anticipated decrease in volumes as COVID-19-related hospitalizations declined. On a full year, VASOSTRICT revenue assumptions anticipate a continued decline toward pre-COVID-19 volume levels in the second half of 2021.  Moving to Slide 6, revenues from our Generic Pharmaceuticals segment decreased by 23% in the second quarter compared to the prior year. The anticipated decrease was primarily due to the impact of prior competitive events. This decline was partially offset by the successful launch of lubiprostone capsules, the authorized generic of Amitiza in January of this year. Second quarter Generic Pharmaceuticals segment revenues exceeded our expectations mainly due to the delay in certain anticipated competitive events, coupled with better-than-expected lubiprostone brand to generic conversion.  Finally, International Pharmaceuticals segment revenues for the second quarter were comparable to the second quarter 2020 revenues.  Turning to Slide 7. While still early in our launch of QWO, we are pleased with our progress to date and the positive feedback we are receiving from both the medical aesthetics community and women who have been treated with QWO. We recently completed a market survey of early experienced health care professionals and patients being treated with QWO, which showed that a strong majority of the patients and clinicians are satisfied with the treatment results. Approximately 80% of treating physicians rate the overall experience positively and would recommend QWO to a fellow colleague. After completing the full QWO treatment, approximately 75% of the patients reported being satisfied with the treatment and would recommend treatment to others. Survey results also suggest that a boost in patient feeling largely involve increasing confidence, among the other factors.  Our PR and media planning continues to generate brand awareness and consumer enthusiasm in the marketplace. Year-to-date, QWO has had 134 unique media placements, generated over 5.3 billion media impressions, 88 feature stories and had 36 broadcast placements. Additionally, QWO continues to be recognized with consumer beauty awards. So far, QWO has been awarded to 2021 New Beauty Award, the Shape Skin Award and recently brought home the 2021 Cosmopolitan beauty breakthrough award, increasing the number of beauty awards received to 5.  To complement growing consumer awareness, we recently launched a Find A Specialist feature on our QWO website to match interested consumers with treating medical aesthetics practices.  In terms of our launch execution, we are on target with our planned account onboarding, purchase and utilization rates. Our focus continues to be a deliberate and progressive approach aimed at supporting practices to successfully launch and integrate QWO into their practices in an effort to support positive patient outcomes and overall consumer satisfaction.  Moving to Slide 8 and discussing our ongoing branded clinical studies and pipeline. Starting with QWO, our data-generation plans remain focused on dosing, injection technique and responses in target patient populations as well as rollover studies on durability. Results analysis from these studies are key to our publication and presentation strategies.  We continued to make progress on our XIAFLEX development programs. Last week, at the American Podiatric Medical Association Annual Meeting held in Denver we presented an e-poster on the Phase I safety and tolerability results of XIAFLEX as the nonsurgical treatment for plantar fibromatosis. We are encouraged by these initial findings and are excited to progress our plantar fibromatosis program with the initiation of a Phase II study in the second half of this year.  In terms of adhesive capsulitis, our Phase IIb study interim analysis is anticipated towards the end of the year. We believe both plantar fibromatosis and adhesive capsulitis represent opportunities to bring innovative treatment options to address potential large unmet needs for patients who are seeking nonsurgical approaches to treatment.  Turning to Slide 9, we continue to evolve our R&D pipeline and manufacturing capabilities to support the introduction of more sterile products that focus on the evolving needs of our customers. The number of R&D projects in our pipeline has increased to approximately 35 with the addition of new sterile injectable projects. Overall, greater than 80% of our R&D pipeline consists of projects across the sterile injectable product continuum with approximately 2/3 in ready-to-use and more differentiated products. Across our Sterile Injectables and Generic segments, we plan to launch approximately 10 products in 2021, which includes our launch of lubiprostone capsules earlier this year.  In addition to organic efforts to expand and enhance our portfolio, we continue to remain active on the business development front. We're focused on opportunities in our core areas of growth, including medical therapeutics, medical aesthetics and sterile injectables to, enable us to further leverage our existing capabilities. We have taken and will continue to take a disciplined approach to deploying capital on business development opportunities.  Now let me turn the call over to Mark to further discuss the company's financial results and our financial guidance. Mark?
Mark Bradley: Thank you, Blaise, and good morning, everyone. First, on Slide 10, you will see a snapshot of our second quarter GAAP and non-GAAP financial results. Blaise covered consolidated and segment revenues earlier, so I will not review that again. On a GAAP basis, loss from continuing operations was approximately $10 million or $0.04 per share on a diluted basis in the second quarter of 2021 compared to income from continuing operations of approximately $18 million or $0.08 per share on a diluted basis in the second quarter of 2020. This decrease was primarily attributable to higher litigation-related costs, including the recently announced Tennessee settlement and higher interest expense, and was partially offset by increased revenues and a favorable change in product mix.  On an adjusted basis, income from continuing operations of $152 million or $0.65 per share on a diluted basis in the second quarter of 2021 was comparable to similar amounts in the second quarter of 2020. Second quarter 2021 results reflected an increase in revenues and a favorable change in product mix, partially offset by increases in operating expenses and interest expense compared to the second quarter of 2020. Turning to Slide 11, based on better-than-expected performance across all of our segments in the second quarter, we are raising the low end of our 2021 full year financial guidance. We now expect full year 2021 total revenues to be between $2.73 billion and $2.79 billion, adjusted EBITDA to be between $1.23 billion and $1.28 billion and adjusted diluted net income per share from continuing operations to be between $2.15 and $2.30.  Our full year 2021 guidance continues to assume an adjusted gross margin of 70% to 71%, adjusted interest expense of approximately $560 million and an adjusted effective tax rate of 11% to 12%. However, we now assume adjusted operating expenses as a percentage of revenue will be approximately 28.5%. While our full year guidance ranges contemplate a number of different uncertainties, our guidance does not assume a broad reinstatement of COVID-19 restrictions or a significant resurgence of COVID-19-related hospitalizations during the remainder of the year.  With respect to quarterly phasing, we expect total revenues to decline by approximately $50 million to $90 million in the third quarter of 2021 compared to the second quarter of 2021. This decline is expected to be driven by anticipated lower Sterile Injectables segment revenues due to lower VASOSTRICT volumes as demand continues to return to more normalized levels as well as lower Generic Pharmaceuticals segment revenues due to continued expectations for competition on certain generic products. Branded Pharmaceuticals segment revenues are expected to remain relatively flat in the third quarter of 2021 compared to the second quarter of 2021 as continued growth in XIAFLEX is expected to be offset by declines in our Established Products portfolio due to continued competition.  We expect adjusted gross margin in the third quarter to be at the low end of the full year 2021 guidance range, reflecting the change in product mix. Additionally, we expect adjusted operating expenses as a percentage of revenue in the third quarter to be in the low to mid-30% range, which reflects increased investments to support the launch of QWO, the progression of our branded and sterile injectable R&D pipeline projects and the continued growth of our XIAFLEX on-market indications, which includes the introduction of a branded direct-to-consumer campaign for our Peyronie's indication.  Switching to Slide 12, this is a summary of full year segment and total enterprise revenue assumptions. As you will notice, we have slightly updated the full year revenue assumptions for our Branded Pharmaceuticals, Sterile Injectables and Generic Pharmaceuticals segments as well as for XIAFLEX and VASOSTRICT.  Advancing to Slide 13 and wrapping up the financial discussion, unrestricted cash flow prior to debt payments was $372 million for the first 6 months of 2021 compared to $390 million in the prior year. This decrease was primarily due to a decrease in cash flow from changes in net working capital and was partially offset by a decrease in cash interest payments and an increase in net cash tax refunds.  We ended the second quarter of 2021 with approximately $1.5 billion of unrestricted cash and a net debt-to-adjusted EBITDA leverage ratio of approximately 5x.  For the full year 2021, we are updating our expectations for unrestricted cash flow prior to debt payments to be between approximately $195 million and $245 million compared to our prior estimate of between $140 million and $240 million. This net change primarily reflects the increase in the low end of the adjusted EBITDA guidance range previously discussed coupled with an increase in cash flow from changes in working capital, partially offset by increases in opioid-related legal expenses and cash distribution for settlements, which corresponds with the recently announced Tennessee settlement.  Let me now turn the call back over to Blaise. Blaise?
Blaise Coleman: Thanks, Mark. Okay, prior to turning the call over to Laure to manage our question-and-answer period, we understand there are many questions regarding our ongoing trials in California and New York, our recently announced Tennessee settlement and the opioid litigation matter as a whole. However, as I'm sure you can appreciate, we're limited on what we can say on this front.  With respect to Tennessee, our settlement includes no admission of wrongdoing, fault or liability of any kind by Endo and our decision to enter into it was based on avoiding litigation risk and the case's associated costs.  With respect to California and New York, the liability phase of both trials are pending, so we're not going to comment on those proceedings.  With respect to the opioid litigation as a whole, we continue to be open to identifying and executing on a constructive path for resolution. It's important to note that while constructive resolution remains our goal, there can be no assurances that this will be achieved and we are prepared to continue to litigate if necessary. More importantly, while we continue to address the opioid litigation, our Endo team remains highly focused on our day-to-day business execution, advancing our strategic priorities and delivering on our portfolio of life-enhancing products to our customers and the patients they serve.  I want to thank each of our Endo team members for all their strong execution during the quarter and continued commitment to helping us transform into the company that we aspire to be in the future.  Let me now turn the call over to Laure to manage our question-and-answer period. Laure?
A - Laure Park: Thank you, Blaise. . Operator, can we have the first question, please?
Operator: Our first question comes from Chris Schott with JPMorgan.
Christopher Schott: I guess my question is on QWO and some of those numbers you cited with the early access program, and I guess maybe specifically, the 75% satisfaction rate. Were there any themes in, I guess, the 25% that weren't satisfied as you look to maybe further refine the target population? I guess was there just anything that you take away from that initial survey that you use going forward?  And then just maybe more broadly, I guess, I think about 75% is clearly a good number, but just given some of the high satisfaction rates we see in other aesthetic markets, how do you think about positioning that as you think about a broader rollout of the product?
Blaise Coleman: Yes. Chris, thank you very much for those questions. And I'll let Patrick address those. Patrick?
Patrick Barry: Yes. Thanks for the question, Chris. Again, I think what the takeaway on the early experience market research is that, that's an early directional trend. So we did actually engage with those patients relatively early after the completion of their course of therapy. So we really like the fact that 75% is directionally a good watermark for us. It also is somewhat consistent with what we saw in some of our other data generation as well. If you look at our 305 trial, which studied patients in both buttocks and thighs, we saw investigator Global Aesthetic Improvement scores and patient satisfaction scores well into the 80s.  So again, directionally, in the early days, we're looking for a focus on good patient outcomes and good patient satisfaction. And so what we're seeing in terms of data generation and also what we're seeing in this small market survey is exactly what we want to see, and that's where our focus is to continue to drive good patient outcomes.
Operator: Our next question comes from David Amsellem with Piper Sandler.
David Amsellem: So on VASOSTRICT, if I'm not mistaken, back in 2019, you ran a PK study, I believe, looking at a ready-to-use formulation. So can you talk broadly about any line extensions on VASOSTRICT and when you could be in a position to bring improved version of it to market?  And then with that in mind, to the extent you do lose exclusivity, can you just talk broadly about the extent to expect to create any liquidity issues for you?
Blaise Coleman: Great. David, thank you for the questions on VASO. So David, on VASO, we do have a very active life cycle management strategy around that. What we have right now approved is a VASOSTRICT premix bottle, where we believe that's going to really bring value to our customers as they look to identify and realize the benefits of whether ready-to-use product like a VASO premix bottle can bring to the market. And what we've talked about is that we will launch that product strategically.  In terms of potential outcomes around launch of exclusivity, David, we're really not going to speculate around that. We have -- the matter is pending with the court in Delaware. And we'll be ready for whatever that decision is, but we're not going to speculate in terms of that potential outcome.  Overall, from a liquidity standpoint, right now, we feel very good about our liquidity and our go-forward position on that front regardless of the outcome on that matter. But that's where we stand in terms of the VASOSTRICT matter. So we're not going to comment much more on that until we have the decision in the Delaware trial.
Operator: Our next question comes from Navann Ty with Citi.
Navann Thank you: First, can I try on opioids? I know you can't comment on New York and California, but are you able to comment generally on the progress towards a potential global settlement? Do you feel that plaintiffs are more willing to settle? And do you have a better idea on timing? And then I have a second question on QWO, if you had any update on the introductory of the price.
Blaise Coleman: Patrick, why don't you comment on the price and I'll take the opioid question.
Patrick Barry: Yes. Sure, Blaise. We launched through early experience program an introductory price and that still is in the market. We're not commenting beyond that, so we've got 2 price points out there. We've got a 4 ml at $200 per vial and then we have an 8 ml at $350. And what I would say is that we've received really very positive receptivity to our price point. I think it allows us to have a price in the marketplace that allows our clinicians to drive good margin, introduce a new vertical. But in doing so, it also creates a product that's very accessible to a wide swath of consumers. And so that's what we wanted to do is really address a wide scale need for, a, an effective cellulite treatment and that's the first and only injectable at those price points. We've received really positive feedback on our price.
Blaise Coleman: On the opioids question, as we said in our prepared remarks, we continue to work towards identifying and executing on a constructive path for resolution. We believe it's in the best interest of all of the various parties and stakeholders to find that type of constructive resolution. However, this is a very complex matter. And as we said, it's not really possible for us to assign probability of likelihood of that outcome or when the timing of that outcome might be reached.
Operator: Our next question comes from Gary Nachman with BMO Capital Markets.
Gary Nachman: As XIAFLEX continues to outperform, has more of the upside been coming from Dupuytren's or Peyronie's? And it seems like you're pretty optimistic for upside in Peyronie's going forward with the DTC campaign. Can you comment on that?  And are you getting a tailwind from the pandemic with people less inclined to get surgical procedures at this point?  And then just a quick one on QWO. How many physicians have you trained thus far? I think you started with 350 for the EEP. And how much will you expand that network over the next year? Just talk about the process for getting certified and how that will play out.
Blaise Coleman: Yes. Thanks, Gary, for those questions. I'll let Patrick comment on both. Maybe just a quick comment on XIAFLEX is that we've seen really impressive growth on both indications, and we are very excited about our move to a branded strategy on the Peyronie's indication. And Patrick can comment more about that in a moment.  On QWO, Gary, right now, we're really focused on driving awareness and trial of that product and a big part of that is training. We're probably not going to get into specific numbers on exactly how many we've trained at this date. We feel really good about the progress we've made. But I'll, again, let Patrick provide some additional color on what we're doing on that front as well.
Patrick Barry: Sure. Let me -- thank you for the question. Let me start with XIAFLEX. We've seen really very impressive growth really across both indications. As we discussed in our prepared comments, we saw revenue growth of over 200%. And that was largely driven from a volume perspective. Both indications are growing versus prior year. The Peyronie's indication grew at about 80% from an underlying demand perspective and the Dupuytren's indication grew at 138%.  And we saw really excellent sequential volume growth across the board. So double-digit volume growth in quarter 2 versus quarter 1. So really all good signs that we see really strong health across the molecule, and that's exactly what we want to see.  As it relates -- I would attribute that to a couple of things. I would attribute that to the fact that we're seeing an increase in physician activity. We're seeing an approach towards pre-COVID level in terms of consumer and patient activities. And we continue to stay committed to our XIAFLEX maximization plan to have the right resources in the market, and our teams are executing extremely well. It's based on that confidence that we are moving forward with plans to introduce a branded direct-to-consumer activation strategy behind Peyronie's.  As we've created condition awareness, we have created a strong call to action in the marketplace. And a key insight and key learning for us is that when that patient does, in fact, ask for XIAFLEX, the majority of the time, for that Peyronie's indication, they do get XIAFLEX. And so for us, that exudes a lot of confidence going into the latter part of the year and an exciting opportunity for us to introduce a branded campaign, which we think will further enable diagnosis treatment and unlock underlying demand, which is really great for patients.  As it relates to QWO, I think Blaise addressed that question. Again, I think in the early days, it's really about focusing on patient outcomes and helping physicians integrate it into their practice and to have confidence. And so again, in our prepared comments, the trends are very, very positive. If you look at the early experience program, the fact that 80% of those market influencers had a positive experience with Endo Aesthetics, positive experience with QWO, that's exactly what we want to see. Those patients are satisfied and they're satisfied with their treatment and they're willing to recommend as well.  So that's really our focus in the early days is on patient outcomes, integrated deeply into the practices and getting repeat utilization.
Operator: . Our next question comes from Annabel Samimy with Stifel.
Annabel Samimy: A few questions again on QWO. First, now that you've had a little time with the soft launch in the market, what are physicians seeing as far as patients coming in for the full course of treatment? And how is the potential introduction of Soliton for cellulite, which was just acquired by Allergan Aesthetics, going to be changing the competitive landscape for you? Have you heard any buzz there?  And then on XIAFLEX, it's been out there for quite some time. Now I imagine that most of the physicians who would adopt this product have already adopted. So what is the focus of your primary investment DTC clearly to bring patients in, but do you feel that you've fully penetrated the physician population and you can move your investment dollars more in the development area?
Blaise Coleman: Great. Thanks for those questions on QWO and XIAFLEX. Maybe just a quick comment or 2 on XIAFLEX, which is, as Patrick said, we're really excited about now moving into the branded consumer activation strategy on Peyronie's disease. And there is still a significant, significant opportunity there. And one of the ways we're going to drive is what Patrick said, which is by further activation of the consumer. And so as Patrick says, as we activate that consumer and that consumer recognizes that there's not only a nonsurgical treatment to treat that condition, but also knows it by name, that's going to have significant impact and drive additional demand not only with existing physicians that use XIAFLEX today, but also additional extension of new injectors going forward.  But Patrick, maybe you can comment further on QWO and anything else on XIAFLEX.
Patrick Barry: Sure. Happy to do so. Let me start with the QWO question. Again, it's certainly early days, but we are generally seeing that physicians are positioning QWO for a full course of treatment. Again, at the clinical trials, we're focused on 3 courses -- 3 cycles and so we're generally seeing patients willing to go through a full course and we're seeing physicians successfully position it that way.  As it relates to Soliton and the acquisition from AbbVie Allergan, the way we look at it, we certainly feel like that validates some of our sentiments on the relative size of cellulite. The enthusiasm for that market opportunity, any time you're going to get a player like Allergan coming into the market, that's only going to fuel condition awareness. So that's a good thing for us.  There's certainly room for multiple treatments. We see in the medical aesthetic area most -- many times physicians look to a multi-modality type approach, and so we really like the positioning that QWO has as the first and only injectable to treat cellulite. That's -- with an injectable, I think that positions us well. Patients are very accepting of injectables. We also know that physicians can very easily operationalize an injectable in their practice. There's no capital outlay. They know how to do that. And so there's an opportunity to create a new vertical for them, an opportunity to grab good margin and an opportunity to have a price point that is accessible to a wide addressable market.  As it relates to XIAFLEX, again, we'll focus in on the Peyronie's indication since we talked about our branded campaign there. You've got about 12,000 high-prescribing urologists out there that are treating erectile dysfunction, treating men's health issues on a daily basis. We know that the diagnosis rates and treatment rates are really, really low. And so there's a huge opportunity to pour more patients into the funnel. There's an opportunity to activate more urologists, and again, we know that based on the growth of the Peyronie's indication that the condition awareness has been effective. And we also know that when they ask for XIAFLEX by name, it unlocks even more underlying demand.  There are men out there suffering in silence with Peyronie's disease. And we feel like this is a great opportunity to not only create further condition awareness, but to get more treatment -- get more diagnosis and more treatment -- more men treated. And so that's an exciting day for patients with the branded campaign coming in the future.
Operator: There are no further questions. I'd like to turn the call back over to Blaise Coleman for any closing remarks.
Blaise Coleman: Great. Thank you very much, operator. Just want to thank everybody for joining this morning, and we look forward to providing updates as we move forward. Thank you, everybody.
Operator: This concludes the program. You may now disconnect. Everyone, have a great day.